Operator: Good day, and welcome to the Culp, Incorporated first quarter 2010 results conference call. Today’s call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to Miss Drew Anderson. Please go ahead.
Drew Anderson: Good morning, and welcome to the Culp conference call to review the company’s results for the first quarter of fiscal 2010. As we start, let me express that some statements made in this call will be forward-looking statements. Forward-looking statements are statements that include projections, expectations or beliefs about future events or results, or otherwise are not statements of historical fact. Actual performance of the company may differ from that projected in such statements. Investors should refer to statements filed by the company with the Securities and Exchange Commission for a discussion of those factors that could effect Culp’s operations and the forward-looking statements made in this call. The information being provided today is of this date only, and Culp expressly disclaims any obligation to release publicly any updates or revisions to these forward-looking statements to reflect any changes in expectations. In addition, during this call the company may be discussing non-GAAP financial measurements that exclude restructuring and restructuring related charges. A reconciliation of these non-GAAP financial measurements to the most directly comparable GAAP financial measurements is included as a schedule to the company’s press release and 8-K filed yesterday. This information is also available on the Investor Relations section of the company’s website at www.culpinc.com. I will now turn the call over to Frank Saxon, President and Chief Executive Officer. Please go ahead sir.
Franklin N. Saxon: Good morning everyone, and thank you for joining us today. I would like to welcome you to the Culp quarterly conference call with analysts and investors. With me on the call today is Ken Bowling, our Chief Financial Officer. I will begin the call with some brief comments about Culp today, and then Ken will review the financial results for the quarter, and then he’ll turn it back over to me. Our sales for the first quarter of fiscal 2010 are indicative of recent consumer demand trends for bedding and furniture, which have been very challenging. In spite of the sales decline, we are very pleased with the strong turnaround in profitability for our Upholstery Fabric business and continued solid profitability in our Mattress Fabrics segment. We began the year with a much leaner operating platform than we had a year ago, and are realizing the benefits of our strategic actions especially during this economic downturn. Today, Culp has a strong competitive position in both businesses, and as always our primary focus is on execution for our customers. We have also further strengthened our financial position during the first quarter with excellent cash flow from operations, and with our cash position almost exceeding our total debt. Our strong balance sheet is providing us with a solid foundation this year to support our growth strategy as market conditions improve. I’ll now turn the call over to Ken, who will review the financial results for the quarter.
Kenneth R. Bowling: Thank you, Frank. As we begin, let me point out that for comparison purposes the first quarter of fiscal 2010 had a total of 13 weeks compared with 14 weeks for the same period last year. Total sales for the quarter were $45.5 million, down 23% from the first quarter of last year. We reported net income of $1.9 million or $0.15 per share for the first quarter of this year compared with net income of $781,000 or $0.06 per share for the first quarter of last year. On a pretax basis, the company reported income of $2 million, up 65% compared with pretax income of $1.2 million for the first quarter of last year. The pretax results for this first quarter included restructuring and related credits in the Upholstery Fabrics segment of $187,000. The pretax results for the first quarter of last year included restructuring and related charges in the Upholstery Fabrics segment of $416,000. Here are the results by operating segment. With respect to Mattress Fabrics, we reported $26.3 million sales for the quarter, a 26% decline compared with $35.6 million for the same period last year. Average sales per week declined by 20% with comparing the two quarters, as the first quarter of fiscal 2009 had one more week than the first quarter of last year. On a unit volume basis, total yards sold decreased by 25% compared with the first quarter of last year, while the average selling price of $2.44 per yard for the first quarter was 2% lower than the same time last year. Operating income for this segment was $3 million compared with $4.2 million last year. Operating income margin was 11.2% of sales compared with 11.9% for the prior year period. Now turning to Upholstery Fabrics, sales were $19.2 million which include both fabric and cut-and-sewn kits, representing a 19% decline from $23.8 million in the first quarter of last year. Average sales per week declined by 13% with comparing the two quarters, as the first quarter of fiscal 2009 had one more week than the first quarter of this year. Upholstery Fabric sales reflect continued lower demand industry wide, especially for U.S. produced upholstery fabrics. Sales of non-U.S. produced fabrics were $16.1 million in the first quarter, down 7% over the prior year period. Sales of U.S. produced fabrics were $3.1 million, down 52% from the first quarter of last year. Total fabric yards sold declined by 23%, while average selling prices were 4% lower than the same time last year. Overall, the Upholstery Fabrics segment reported improved operating income of $764,000, or 4% of sales, reversing an operating loss of $1.4 million for the first quarter of last year. Now I’ll turn to the balance sheet. We continue to focus on further strengthening our financial position and generating cash in light of the uncertain business climate. Cash flow from operations was $4.6 million for the first quarter of this year. Our balance sheet reflected $15.5 million in cash as of August 2, 2009, compared with $11.8 million at the end of fiscal 2009. Total debt, which includes current maturities of long term debt and long term debt less cash or net debt was $0.9 million compared with $4.6 million at the end of fiscal 2009. It’s important to note that the company is close to a positive net debt position for the first time in over 30 years. Our scheduled debt repayments for the rest of fiscal 2010 are $4.8 million and only $186,000 for fiscal 2011. All of Culp’s debt remains unsecured, including lines of credit of only $10.5 million in the U.S. and China with no borrowings outstanding. We continue to make improvements in our working capital management, especially inventories which were down by over $13 million or 38% since the same period a year ago. Day sales and receivables and inventory turnover have also steadily improved, even with declining sales. Despite the continuing improvement in working capital management achieved thus far in fiscal 2010, the company expects cash flow generated from working capital improvements to be substantially lower than the last two fiscal years. Operating working capital, which is comprised of accounts receivable and inventory less accounts payable, was $21 million at the end of the first quarter, down 42% from $36 million a year ago. Working capital turnover was 6.8 for the first quarter compared with 6.0 for the same period last year. More specifically, inventory turns for the first quarter were 6.7 compared with 5.9 for the same period a year ago, and days sales outstanding or DSOs were 26 days for the first quarter compared with 31 days for the same period last year. The company expects cash capital expenditures for fiscal 2010 to be approximately $4 million, including $1.5 million of deferred payments on equipment. And depreciation is expected to be approximately $4 million. Finally, let me give you an update on our NYSC listing standards. As we disclosed on previous calls, Culp was notified by the NYSC in fiscal 2009 that the company had fallen below the continued listing criteria for a 30 day average market cap of not less than $75 million, or total stockholders equity of not less than $75 million. Subsequently, the NYSC notified us in June that they had received SEC approval to lower the threshold for both criteria to $50 million. As of this filing, Culp’s market capitalization and shareholders equity are both above the $50 million compliance level. We will now await the NYSC’s official review of our status. I’ll now turn the call back over to Frank.
Franklin N. Saxon: Thanks, Ken. I’ll now provide you with an update on both of our operating segments, and let’s start with Mattress Fabrics. Our consistent operating performance in Mattress Fabrics reflects the benefits of the significant investments we’ve made to improve our manufacturing platform over the last several years. While the sales environment has certainly remained challenging, we have continued to drive our operating efficiencies, achieve solid profit margins and enhance our competitive position. We see many opportunities to further develop our product offerings and will continue to make important capital investments in our manufacturing capabilities during this fiscal year, including improved knit and weaving capacities and finishing enhancements on these product lines with capital expenditures of approximately $3.5 million. We are committed to the growth of this important business for Culp and with these projects we believe we are well positioned to leverage any upside in Mattress Fabrics demand as it occurs. Our customers know they can rely on Culp for outstanding service, reliable delivery performance and consistent quality and value. Now I’ll turn to the Upholstery Fabrics segment. We are encouraged by the dramatic turnaround in profitability for the Upholstery Fabrics business, reversing the prior year’s significant first quarter loss. Our sales have clearly been affected by the soft demand for furniture. However, our ability to be profitable and continue to meet the needs of our customers reflects solid execution in a difficult market. Our profit improvement plan, completed last year, has exceeded our expectations with very favorable results. Notably, SG&A expenses for this business for the first quarter were 18% lower than a year ago. Further, our strategy to reduce the amount of capital invested in this business and transition to a highly variable cost model has also significantly enhanced our competitive position. In particular, our China platform is providing us with the ability to provide excellent value through a scaleable and low-cost operating model, which includes a proprietary and vertically integrated network of key manufacturing partners. We are also pleased with the progress being made in our U.S. operation in Anderson, South Carolina, as our profitability is significantly better here than a year ago. Additionally, customer response to our new products has been very favorable at recent market events. We are continuing to focus on sales and marketing initiatives that will further benefit our business when demand for furniture improves. We are also continuing to focus on our quality and delivery performance. I will now review the outlook for the second quarter of fiscal 2010, and then I’ll have a few concluding remarks. While we expect that the economic uncertainties and issues surrounding the housing market will continue to affect consumer demand for furniture and bedding products, we are encouraged by indications of a more stable business environment. Overall, we expect our sales for the second quarter of the year to be down in the range of 5% from the second quarter of last year, making it the lowest year-over-year percent decline since the third quarter of fiscal 2008. We expect sales in our Mattress Fabrics segment to approximate the level achieved during the same period a year ago. Operating income margin in the segment is expected to be comparable versus the same period a year ago. In our Upholstery Fabrics business, we expect sales to be down approximately 10 to 15% for the second quarter. In spite of the lower sales, we believe that this segment’s results will again reverse the prior year’s operating losses and reflect a modest operating profit, slightly below the first quarter of this year. Considering these factors, the company expects to report pretax income for the second quarter of 2010 in the range of $2 million to $2.8 million. Given the volatility of the income tax area during fiscal 2009 and continuing into this year, the income tax expense and related tax rate for the second quarter are too uncertain to project. This is management’s best estimate at present, recognizing that future financial results are difficult to predict because of the economic uncertainties and demand challenging facing our industry. We are optimistic about our prospects for fiscal 2010 as we have the key advantages of a lean and agile manufacturing platform, a strong balance sheet and a leading competitive position in both operating segments. We intend to further build upon these advantages in this fiscal year. We see many additional opportunities in our Mattress Fabrics business to refine and expand our product offerings and further enhance our value proposition to customers. With the improvements in both our China platform and U.S. facility, our Upholstery Fabrics business is now well positioned for profitability. We believe both of our businesses have the ability to significantly capitalize on improved demand as the economy stabilizes and consumer spending resumes. While we acknowledge the challenges that still remain, we are confident in Culp’s ability to execute and we look forward enthusiastically to the year ahead. With that, we will now take your questions.
Operator: Thank you. (Operator Instructions) Your first question comes from [Chad] for Budd Bugatch - Raymond James.
[Chad] for Budd Bugatch - Raymond James: First let me say congratulations on another very good quarter despite the difficult economy. And I guess the first question would be to you, Frank, on sort of the tone of business. Could you give us a sense of how sales progressed through the quarter sort of month-to-month? Was it relatively steady? Did it get better as the quarter progressed and did that vary at all, Upholstery versus Mattress Fabric?
Franklin N. Saxon: I would say Upholstery was weak throughout each of the months. And on the bedding side, on the Mattress Fabrics side it improved toward the end of July because of the seasonality of the business during the summer. But probably overall, not a lot of change month-to-month during the first quarter.
[Chad] for Budd Bugatch - Raymond James: And are we still seeing within bedding a pretty good bifurcation between the higher end, higher priced bedding and value priced?
Franklin N. Saxon: Yes we are. And of course we’re focused on the value to middle price points in that business as well.
[Chad] for Budd Bugatch - Raymond James: And the Upholstery margin was obviously very impressive, given the sales declines that you’re still dealing with here. If we kind of bottom out here and assume maybe more of a normative growth rate for a couple of years, I mean you did 4% in the quarter, what can that margin look like a couple of years out?
Franklin N. Saxon: Well, we were pleased with the margin obviously in the fourth quarter of the previous year and the first quarter. We’re doing a number of initiatives to improve margins, to improve our return on capital, to grow the business. But margins, as I think we’ve said on earlier calls, could be in the 5 plus percent range over time. And we obviously about reached that in the first quarter.
[Chad] for Budd Bugatch - Raymond James: And could you give us a sense of what type of benefit did you get in the quarter from raw materials? If you can’t quantify it for us or don’t want to quantify it, could you at least maybe give us a sense of was it higher or lower relative to last quarter? And maybe if we assume sort of a stable commodity price environment for the rest of the year, how would you expect the timing of that to kind of play out this year?
Franklin N. Saxon: Okay, on a sequential basis the raw materials were about the same as our fourth quarter of last year, possibly a little lower and probably more so than a year ago, certainly lower than a year ago. Although we are seeing some indications of prices in raw materials maybe heading up some, not a lot, but probably we see more upward pressure than downward pressure.
[Chad] for Budd Bugatch - Raymond James: Could you maybe comment a little bit on the competitive landscape? I mean obviously business conditions seem to be stabilizing but still declining year-over-year. Are any of your competitors in trouble or do you feel like you’re picking up that market share due to your stronger financial position?
Franklin N. Saxon: We believe we’re picking up market share and there are certainly several competitors in both businesses that are having some financial challenges. In China on the Upholstery Fabric side we do know that a number of the textile producers who were relying so much on exports are having very difficult times, and there certainly have been a few, probably more than a few that have closed over the last year.
[Chad] for Budd Bugatch - Raymond James: Could I ask Ken to repeat the yards sold and the price per yard by segment? I missed a couple of those numbers.
Kenneth R. Bowling: Yes. Just hold on just a second. Let’s see. For Mattress Fabrics it was, let’s see, the volume base of total yards sold decreased by 25% year-over-year, and the average selling price was $2.44 per yard. And that was 2% lower than last year. And for Upholstery Fabrics total fabric yards sold declined by 23% and selling prices were 4% lower than last year.
Operator: And at this time we have no further questions.
Franklin N. Saxon: Okay. Thank you, operator and again thank you all for your participation and your interest in Culp. We look forward to updating you on our progress next quarter. Have a good day.
Operator: This does conclude today’s teleconference. Thank you for your participation.